Operator: Ladies and gentlemen, good afternoon. I’d like to welcome everyone to the Theravance Biopharma First Quarter 2022 Conference Call. [Operator Instructions] Also, today’s conference call is being recorded. And now I would like to turn the call over to Gail Cohen, Vice President, Corporate Communications. Please go ahead.
Gail Cohen: Good afternoon, and thank you for joining the Theravance Biopharma First Quarter 2022 Conference Call to discuss our business. As always, I remind you that this call will contain forward-looking statements that involve risks and uncertainties, including statements about our development pipeline, expected benefits of our products, anticipated timing of clinical trials, regulatory filings and expected financial results. Information concerning factors that could cause results to differ materially from our forward-looking statements is discussed further in our filings with the SEC. I would direct your attention to Slide 3. Joining us are Rick Winningham, Chief Executive Officer; followed by Rhonda Farnum, Senior Vice President and Chief Business Officer; Rick Graham, Senior Vice President, Research and Development; and Andrew Hindman, Chief Financial Officer. Now, I will hand the call to Rick Winningham for opening remarks.
Rick Winningham: Thanks, Gail. And turning to Slide 4. Last September, we announced the restructuring of the company to optimize our business. Since then, we’ve rapidly transitioned to a focused and streamlined Theravance Biopharma. We’re focused on leveraging our expertise in developing and commercializing respiratory therapeutics. We’ve streamlined our R&D investments to concentrate on highest value opportunities, and we’re exploring strategic partnerships for our pipeline assets to unlock additional value. All of these actions drive towards our goal to maximize shareholder value. There are three key pillars of value creation, as highlighted on Slide 5 for the go-forward plan that builds on our proven record of respiratory innovation supporting several approved medicines for COPD and asthma. These pillars include YUPELRI, which was discovered and developed by Theravance Biopharma, is commercialized in partnership with Viatris. YUPELRI has continued quarter-over-quarter market share growth despite the respiratory pandemic. Sell-side analysts covering Theravance Biopharma estimate YUPELRI has the potential to generate U.S. peak sales of approximately $400 million annually. We announced in early January the enrollment of the first patient in the YUPELRI Phase 4 PIFR-2 study. If the study is successful, our addressable U.S. market could potentially include all patients with low peak inspiratory flow, which is estimated to be one in five patients with COPD. The impact of this study, obviously, is not included in current analyst peak sales estimates. Rhonda will speak to YUPELRI’s successes from this most recent quarter. Second, our pipeline, our second pillar of value creation. It includes our most advanced respiratory candidate nezulcitinib, our dry powder inhaled JAK inhibitor program, which we have said before, we’d advance the drug candidate into the clinic with a strategic partner. And also includes ampreloxetine, investigational Theravance Biopharma discovered once-daily norepinephrine reuptake inhibitor in development for the treatment of symptomatic neurogenic orthostatic hypotension or nOH. Results from a Phase 3 study of ampreloxetine we reported last month showed a benefit in patients with multiple systems atrophy. Rick Graham will walk through the data and the next steps for that program. And the third pillar is our economic interest in TRELEGY. The respiratory medicine developed by GlaxoSmithKline, also known as GSK, in collaboration with the company’s predecessor Theravance Inc., now known as Innoviva. TRELEGY is the first and only once-daily single inhaler triple combination therapy approved for the treatment of COPD and asthma and is owned, controlled and marketed globally by GSK. Given the strength of the clinical data underlying TRELEGY and its indicated uses, coupled with GSK’s commercial excellence, TRELEGY continues to experience exceptional revenue growth trends even in the face of the global respiratory pandemic. At present, GSK sell-side analysts project that TRELEGY could generate global peak sales of $3.5 billion annually. Andrew will review TRELEGY’s first quarter performance of 2022 as well as review Theravance financials. We continue to believe in the strong and growing cash flows of YUPELRI and TRELEGY and the expected future robust revenue performance for both coupled with several sources of potential upside that our development pipeline can generate significant value creation opportunities for our shareholders. I’ll now turn the call over to Rhonda to review YUPELRI.
Rhonda Farnum: Thanks, Rick. I am pleased to have the opportunity to share our latest performance update on YUPELRI, which is the first and only once-daily nebulized long-acting muscarinic antagonist that provides the full 24 hours of control for patients and is indicated for the maintenance treatment of patients with COPD. Despite the continued headwinds created because of the global respiratory pandemic, we are encouraged by YUPELRI’s growth and believe we are seeing evidence of receding pandemic impact. As a reminder, Theravance Biopharma and Viatris co-promote in the U.S. with our combined sales infrastructure targeting health care professionals who treat COPD patients suitable for YUPELRI. Theravance Biopharma’s commercial and medical teams cover the hospital segment, and Viatris covers outpatient-based community health care professionals. From a financial perspective, we share profits on YUPELRI in the U.S. with 65% going to Viatris and 35% to Theravance Biopharma. Looking specifically at the Theravance field sales deployment efforts on Slide 8, in Q1 of 2022, doses sold exclusively in the hospital setting represented a year-over-year increase of 73.2% from Q1 of 2021 and an increase of 4.3% from the prior quarter demonstrating the highest quarter volume launch to date. The respiratory pandemic impacted the launch phase of YUPELRI’s growth in 2020, but we have seen YUPELRI’s hospital volume return to growth in the second half of 2021. With the achievement of new key hospital system formulary placements and the continued addition of new purchasing accounts, we believe these wins will yield significant growth in 2022 as YUPELRI will be the first LAMA of choice in many hospital systems. Turning to Slide 9, you can see that YUPELRI share of the hospital setting increased to 11.3% in Q1 of 2022, which is up 7.8% – from 7.8% in Q1 of 2021. YUPELRI’s market share in the community setting increased to 23.5% through January of 2022, which is our latest data point, and up from 19.7% in Q1 of 2021. As we have noted previously, many patients with COPD experience an acute respiratory episode serious enough to require a trip to the hospital, and therefore, the hospital becomes a key point to assess a person with COPD and convert or switch them from their current medicine to YUPELRI. Data shows that many patients who received YUPELRI in the hospital are discharged with a prescription to continue their treatment, allowing for continuity of YUPELRI maintenance therapy post hospitalization. The Theravance Biopharma and Viatris teams continue to work collaboratively and effectively to convert appropriate patients to YUPELRI during their hospital visit providing support through discharge and enabling them to be maintained on YUPELRI after they return home. Slide 10 shows Theravance Biopharma’s implied 35% of net sales for YUPELRI during the first quarter of 2022 of $15.3 million. I’m also pleased to highlight that YUPELRI’s year-over-year net sales have increased 19% comparing Q1 of 2022 versus Q1 of 2021. Demand doses for YUPELRI also increased was 23.4% year-over-year growth. As was the case last quarter, while institutions in many parts of the country are allowing increasing in-person access, in-person engagements still remain below pre-pandemic levels for our teams. It is also important to note that although total prescription volumes continue to demonstrate growth across most therapeutic specialties with volumes heading toward parity with 2020, prescription volumes within the pulmonary specialty continued to remain below pre-pandemic levels for the first quarter of 2022. We believe this challenging period is ending, and provides upside to the brand as we move in the direction of a more normal environment for pulmonologists treating COPD patients. Even with these lingering challenges, we have been encouraged with growth in total prescriptions, which increased by 30% year-over-year and new-to-brand prescriptions increased 20% year-over-year. As a reminder, these script data include only retail, but serves as a useful proxy for retail plus the DME or durable medical equipment fulfillment channel, which represent a majority of the volume for YUPELRI sales. Lastly, although the pandemic continued to affect our business during the first quarter, in March and April, we have seen the impact recede, which we believe is leading to improved demand patterns and along with an increasing ability to engage an in-person field-facing activities we anticipate our growth will continue to accelerate throughout 2022. I will now turn the call over to Rick Graham.
Rick Graham: Thanks, Rhonda. Turning to Slide 11, picking up on YUPELRI. The Phase 4 PIFR-2 study comparing improvements in lung function in adults with severe to very severe COPD and suboptimal inspiratory flow rates following once-daily treatment with either revefenacin, delivered via a standard jet nebulizer or tiotropium delivered via dry powder inhaler is actively enrolling patients. Theravance is responsible for 35% of the cost of this study, and we continue to guide to top line results within the first quarter of 2023. As Rick mentioned, we aim to unlock the value of our pipeline assets through strategic partnerships. Today, I’m going to focus on the recently announced ampreloxetine Phase 3 study results, which demonstrated a clear benefit in study patients with multiple system atrophy and symptomatic neurogenic orthostatic hypotension. Moving to Slide 12. The ampreloxetine Phase 3 program included three studies, Study 0169, Study 0170 and the open-label extension Study 0171, and enrolled patients with Parkinson’s disease, multiple system atrophy or MSA and pure autonomic failure. In September of last year, we reported that the 0169 study did not meet its primary endpoint, and we took actions to reorganize the company and close out the ongoing clinical studies. Last month, we disclosed the results from Study 0170, and the complete data slide set can be found on our website. Today, I’d like to focus the conversation on the benefit that ampreloxetine treatment provided to MSA patients in the study. On Slide 13, you can see the study design. Study 0170 was a 22-week Phase 3 study comprised of a 16-week open-label period, followed by a 6-week double-blind, placebo-controlled randomized withdrawal period. Patients entered the open-label period of Study 0170 by either completing the four-week efficacy Study 0169 or by entering 0170 de novo. After receiving 10 milligrams of ampreloxetine once daily for 16 weeks, patients then entered the six-week randomized withdrawal period, where they either remained on ampreloxetine or were randomized to placebo. At the end of the randomized withdrawal period, 31% of the study population was MSA patients. On Slide 14, we present the prespecified subgroup analyses of patient-reported outcomes. On each of the four plots, the data points to the left of the vertical line favor ampreloxetine treatment and data points to the right favor placebo. The top left panel shows the results for the primary endpoint of treatment failure, which was defined as a worsening of both OHSA Item 1 and the patient global impression of severity. While there was a beneficial effect of ampreloxetine in the overall study population, this benefit was largely driven by MSA patients. The benefit to MSA patients was observed in multiple endpoints, including OHSA composite as shown on the top right panel, OHSA Item #1 on the bottom left panel, and the orthostatic hypertension daily activity scale or OHDAS, on the bottom right. Orthostatic hypotension questionnaire composite scores and the individual item scores from the patients with MSA are shown on Slide 15. Starting on the top half of the slide, you can see that the symptom composite score was nominally statistically significant with the upper bound of the 95% confidence interval to the left of zero. This effect on the OHSA composite was driven by all six items on the questionnaire favoring ampreloxetine. These include dizziness, vision, weakness, fatigue, trouble concentrating and head and neck discomfort. Moving to the bottom half of the slide, the daily activities composite score also favored ampreloxetine and in this case, all but one item on the questionnaire favored ampreloxetine treatment. The largest impact for the MSA patients was standing for a short time. For someone with MSA suffering with symptomatic nOH, even standing for a short time can be an enormous impact on quality of life. It can mean the difference of transferring from the bed to a wheelchair from the wheelchair to the restroom. The idea that slightly – the item that slightly favored placebo was walking for a long time, which isn’t surprising, considering that MSA is a disease with severely debilitating consequences. Finally, the last row of the table shows the OHQ composite score, which is the integrated results of OHSA and OHDAS. The OHQ composite score favored ampreloxetine treatment and this effect was also nominally statistically significant. The MSA subgroup represents a patient population with nOH for which no currently approved therapy has been shown to provide sustained efficacy in mitigating the debilitating symptoms related to nOH. The MSA data set in the current ampreloxetine program constitutes more than the third of the overall study population. And the subgroup is the largest number of MSA patients evaluated in the clinical program, investigating an interventional treatment for symptomatic nOH to date. There’s an urgency to treat MSA patients suffering with nOH due to the impact on quality of life and the extreme caregiver burden. Rare diseases and conditions pose a significant economic burden and the cost burden applies to direct medical as well as indirect and nonmedical costs. With the benefit that ampreloxetine provided to the MSA patients in the 0170 study, it’s important to consider why a similar result wasn’t observed in Study 0169, the four-week efficacy study. As shown on Slide 16, a longitudinal data analysis demonstrates that a treatment duration of more than four weeks with ampreloxetine is required for maximal effect. The y-axis on the plot is the OHSA composite score and a lower number here means that patients are feeling better. The x-axis is time by week in each period of the study. As shown on the left side of the figure, there was a minimal difference between ampreloxetine treatment in green and placebo in gray after four weeks in Study 0169. However, as patients moved into the open-label period of 0170, the OHSA composite continued to decrease reaching a nadir or a lowest level around week eight to 12. For patients that continued on ampreloxetine shown by the green line into the randomized withdrawal period, the effect was durable. Whereas, those patients withdrawn from ampreloxetine shown by the gray line worsened over the next six weeks. Again, the longitudinal data demonstrate that a treatment duration of more than four weeks with ampreloxetine is required for maximal effect. Given the clear unmet need for MSA patients suffering with symptomatic nOH, coupled with the benefit that ampreloxetine provided in Study 0170, we will define a path forward through ongoing discussions with regulators and strategic partners. I’ll now turn the call over to Andrew to review the financials.
Andrew Hindman: Thanks, Rick. Turning to Slide 18. We look at the performance of TRELEGY, the third pillar of our value creation plan. As a reminder, TRELEGY is owned and marketed globally by GSK. Through our 85% ownership interest in Theravance Respiratory Company, LLC, or TRC, LLC we are entitled to receive upward tiering royalties on global net sales of TRELEGY. At present, 75% of income received from our economic interest is pledged to service principal and interest payments on our outstanding 2035 nonrecourse notes, and the remaining 25% of income is retained by us. On Slide 18, we’ve captured the most recent information GSK shared during their earnings call on April 27. GSK noted that TRELEGY continued to lead the market as a single inhaler triple therapy with year-over-year global sales growth of 33%, generating global net sales of $454 million during the first quarter of 2022. This growth is primarily driven by the continued adoption of TRELEGY in the asthma indication and strong global commercial performance by GSK’s team. Moving to our consolidated financials on Slide 19. We provide our first quarter financial highlights for 2022 compared to the first quarter of 2021. R&D expenses for the first quarter of 2022 were $19 million compared to $60 million for the first quarter of 2021. SG&A expenses for the first quarter of 2022 were $14 million compared to $23 million in the first quarter of 2021. These quarterly figures exclude share-based compensation and onetime restructuring expenses. We ended the first quarter of 2022 with $148 million in cash and cash equivalents. On Slide 20, we provide our financial guidance for 2022. And for R&D expenses, we expect to invest between $45 million to $55 million relative to actual investment of $168 million in 2021. Of this expense range, approximately $10 million is nonrecurring spending that was incurred in Q1 2022 to support the completion of the izencitinib and ampreloxetine clinical programs. R&D spend in Q2 and beyond will normalize and reflect the recurring limited strategic investments in our pipeline. For SG&A expenses, we expect to invest between $35 million to $45 million relative to actuals of $71 million in 2021. And again, our operating expense guideline excludes share-based compensation and onetime restructuring expenses. As a result of our reduced spending and improved cash flow generation from YUPELRI and TRELEGY, we reiterate our expectation to become sustainably cash flow positive on an annual basis in the second half of 2022. And with that, I’ll return the call back to Rick for closing remarks.
Rick Winningham: Thanks, Andrew. Turning to Slide 21. Theravance Biopharma is focused and streamlined. We’re executing against three pillars of value creation, maximizing the value of YUPELRI, limiting strategic investments to advance our pipeline while leveraging our internal expertise in the development of inhaled lung-selective agents and pursuing strategic collaborations to optimize value. And the third key pillar of value creation is our economic interest in TRELEGY, which is experiencing strong revenue growth based on GSK’s commercial performance. We continue to move towards our goal of becoming sustainably cash flow positive beginning in the second half of 2022 and to maximize shareholder value. In closing, I once again thank our internal team for their perseverance. I’m grateful to their commitment, to our mission of continuing to develop medicines that make a difference, to progress in our clinical pipeline, YUPELRI, as well as the patient communities we serve. I’ll now hand the call back to the operator for questions.
Operator: Thank you sir. [Operator Instructions] Our first question will come from Eva Privitera with Cowen.
Eva Privitera: So it looks like YUPELRI volumes increased 73% year-over-year in the hospital setting. And from the market share data, there was a 30% year-over-year increase in the community setting with sales increasing 19% year-over-year. Is that possibly due to a decrease in NIM net pricing? Or how should we interpret that?
Rick Winningham: Rhonda, you want to take that?
Rhonda Farnum: No, I wouldn’t just attribute that to an adjustment in pricing. We’re still seeing this volume kind of repair or get back to a point of pre-pandemic growth rates. So I don’t know if your question is more separately relative to each channel of business or just trying to understand the very...
Eva Privitera: I guess I’m trying to understand, what’s the discrepancy there and also understand what the demand trajectory is like in the community setting versus the hospital? Are there any specific challenges there in the community setting?
Rhonda Farnum: Go ahead, Rick.
Rick Winningham: Yes. So the hospital patient, we focus on the hospital because as Rhonda indicated, that is a very good time to reassess the patient for the health care professional. And if what they have been on has not been working because of the reason causing them to go in the hospital, it may in the appropriate patient facilitate a change to YUPELRI. So the effect of the hospital and the growth of the hospital channel would likely be seen first and then it would flow into the community setting. The community setting, then we obviously, in the first quarter, you have some issues generally with community relative to payers, which is seen in many different – as co-pays reset and cost shares reset. That’s obviously something that’s happened a bit in the first quarter of this year. But we certainly, as Rhonda indicated in her remarks, look at the growth that we’ve seen in the hospital, look at the increase in face-to-face interchanges that we’ve had with health care professionals across both the Viatris and the Theravance Biopharma sales forces was a precursor to an improving growth profile throughout the rest of the year. Sorry, Rhonda, go ahead.
Rhonda Farnum: I think the other piece to – which I think is somewhat obvious is certainly the volume contribution of hospital relative to the community setting. I think everyone can appreciate the time on therapy is a different duration to hospital, approximately three to five days and then looking at the longer duration in the outpatient study in that script fulfillment.
Eva Privitera: All right. Thank you so much.
Operator: Thank you. Our next question will come from Vikram Purohit with Morgan Stanley.
Unidentified Analyst: Good day everyone. This is Gospel [ph] on for Vikram. So I was wondering what do you think a path forward for ampreloxetine in MSA could look like in terms of an eventual trial design and the number of studies that you might need to be conducted for a potential approval? And what is your current thinking on how you would support the cost associated with running any additional studies you did here? Thank you.
Rick Graham: Yes. Thank you for the question. This is Rick Graham. I don’t want to get too far ahead of ourselves because our first step is to have a conversation with the FDA here based on the results that we have in hand that I went through today. And we’ll aim to have a meeting with the FDA toward mid-summer of this year. But if you look at the data that I presented today where we and our KOLs are pretty impressed with the consistency in the data, the totality of the data and the fact that we were able to see nominal significance in just 38 MSA patients looking at the OHSA composite. So taken together, depending on the outcome of the interaction with FDA, there could be a way to complete a body of work in a very, I think, streamlined and minimal way given the data that we have in hand.
Unidentified Analyst: Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from Joseph Stringer with Needham & Company.
Ben Ricard: Hi, this is Ben Ricard on for Joseph Stringer. Thanks for taking my question. So assuming that the PIFR-2 trial is positive and we would see a YUPELRI label expansion. Would that change anything about the profit sharing agreement with Viatris or the division of sales and marketing between the two companies? Thank you.
Rick Winningham: No, thanks for the question. I wouldn’t change the profit share. The profit share would remain the same. I think what it does change is it opens up a little bit more broadly, the segment of the market in which YUPELRI may be able to compete very effectively versus other handhelds. Right now, as we’ve mentioned over time, we really are focused on a segment of the COPD market that’s about one in 10 COPD patients who require nebulization for control of their disease. If the PIFR-2 study is successful, that one in 10 could expand to as much as in one in five. In other words, today, there are patients that are not getting optimal benefit from a handheld device that might benefit from therapy with YUPELRI. So that’s really what the target is. The target is expanding the rather sizable niche that YUPELRI already occupies and can participate in to facilitate longer-term growth of the brand.
Rick Graham: Rick, I just want to add, and Ben, thanks for the question. It’s one that comes up a lot about the label change. Just remember that our current indication statement for YUPELRI is already very broad and captures patients with low PIFR. The point here is that we need to do a clinical trial to better understand the impact of nebulized therapy versus dry powder inhaler on these patients with low peak inspiratory flow. If there were to be a label update, these results would go into, let’s say, the clinical trial section of the label, but we aren’t expecting to change the indication statement because it already captures those patients.
Ben Ricard: Great. Thank you very much.
Operator: Thank you. Our next question will come from David Risinger with SVB Securities. 
David Risinger: Yes, thanks very much. I had three questions on the revenue, please. First, the Viatris collaboration revenue rose 3% in the March quarter year-over-year. If you could please provide some color on that. Second, the collaboration revenue declined from $3.9 million in the first quarter of 2021, to just $9 million in the first quarter of 2022, if you could explain that? And in terms of licensing revenue, the figure was $2.5 million, if you could please explain that. Thank you.
Rick Winningham: Andrew, do you want to?
Andrew Hindman: Yes, hi David. This is Andrew. So going down the list there, the collaboration agreement revenue for Viatris is essentially the receivables due from Viatris for the quarter. So there’s some complex collaboration counting behind to get to that netted out number, but that’s effectively the receivable. The next line down, the collaboration revenue line, yes, 9,000 was booked for the first quarter of 2022, down from just under $4 million for the first quarter of 2021. This is really related to the amortization of the upfront – upfront payment received from Janssen for our – formerly with the collaboration we had on izencitinib. And then the licensing revenue, $2.5 million for this quarter was the first milestone payment received from Pfizer on the dermatological JAK program that we licensed to them in 2019. That payment was for the entry of the first product into the human clinical studies.
David Risinger: Thank you.
Andrew Hindman: You’re welcome.
Operator: Thank you. It appears we have no further questions on the phone. I’d now like to turn the conference back to Mr. Winningham. Please go ahead, sir.
Rick Winningham: Yes. I’d like to thank everyone for joining us today and for the questions. We look forward to updating you throughout the rest of 2022. We’re very excited and encouraged about our progress to date in the year, and look forward to finishing the next three quarters quite strongly with our growth drivers. So thank you very much. Have a great day.
Operator: Ladies and gentlemen, this concludes today’s conference call. We thank you for your participation, and you may disconnect at any time.